Operator: Good day, everyone, and welcome to the Verisk Analytics' Third Quarter 2016 Earnings Results Conference Call. This call is being recoded. At this time for opening remarks and introductions, I would like to turn the call over to Verisk's Director of Investor Relations, Mr. David Cohen. Mr. Cohen, please go ahead.
David E. Cohen - Verisk Analytics, Inc.: Thank you, Beth, and good day to everyone. We appreciate your joining us today for a discussion of our third quarter 2016 financial results. With me on the call this morning are Scott Stephenson, Chairman, President and Chief Executive Officer; Mark Anquillare, Chief Operating Officer; and Eva Huston, Chief Financial Officer. Following comments by Scott, Mark and Eva highlighting some key points about our strategic priorities and financial performance, we will open up the call for your questions. Unless stated otherwise, all results we discuss today will reflect continuing operations. All discussions of EBITDA reflect adjusted EBITDA, which excludes certain severance costs and a gain from an investment in a business which was acquired by a third party. The earnings release referenced on this call, as well as the associated 10-Q, can be found in the Investor section of our website, verisk.com. The earnings release has also been attached to an 8-K that we have furnished to the SEC. The earnings release contains reconciliations of several non-GAAP measures which we will reference on today's call. A replay of this call will be available for 30 days on our website and by dial-in. Finally, as set forth in more detail in yesterday's earnings release, today's call may include forward-looking statements about Verisk's future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance is summarized at the end of our press release, as well as contained in our recent SEC filings. Now, I will turn the call over to Scott.
Scott G. Stephenson - Verisk Analytics, Inc.: Thanks, David. Good morning, everybody. In the third quarter, we delivered solid overall results with total and organic constant currency revenue growth of around 6% as we continue to grow faster than our end markets. With almost 8% growth from our combined insurance and financial services businesses, the long-term underlying trends remain encouraging. Profitability remains strong with total EBITDA margins of around 51%. Adjusted EBITDA growth excluding the prior year warrant sale gain was around 6%. Diluted adjusted EPS grew about 8% and about 17% excluding the warrant gain. Year-to-date free cash flow is up 13% excluding the tax on the gain from the healthcare business sale. We were pleased to resume returning capital to our shareholders through our longstanding share repurchase program. We bought $73 million of stock in the quarter and we had $280 million remaining under our share repurchase authorization as of September 30, 2016. With our leverage back below our 2.5 times reference level, we have plenty of capacity for strategically relevant tuck-in acquisitions as well as additional repurchases. We remain active in evaluating possible acquisitions in particular as we make buy versus build decisions in pursuit of our international expansion and vertical enhancement. Analyze Re is a great example where we found a high performance analytics capability that complements the Touchstone platform at AIR. While the deal only closed last week, the teams are already working on integration and go-to-market strategies. We continue to make progress enhancing the Verisk distinctives of one, unique data assets; two, deep domain expertise; three, first-to-market innovations; and four, deep integration into customer workflows. Consistent with our efforts, Verisk was recently ranked in the top 20 on Forbes magazine's 2016 list of the world's most innovative companies. Our success is due to the outstanding efforts of our people, including those who have joined us relatively recently. And I'm very encouraged by the growing enthusiasm across the company to serve our customers with innovative data analytic solutions. We see a direct relationship between the excellence of our employees and their commitment to creating innovative solutions for our customers. We remain confident in our double-digit growth forecast for financial services this year, and we still continue to expect WoodMac to be around flat in constant currency. In pursuit of our goal of insurance growth above the 2015 run rate, we are pleased with new contract signings and the performance of several newer, more innovative solutions. As you know, there's been some softness in the reinsurance market, and 2016 has been an extremely quiet storm season. In addition, a handful of customers have signed contracts as expected, but the related implementations are starting a bit later than originally planned. While timing is a factor as we cross the 2016 finish line, we continue to feel very good about the quality of our data assets. Our customers' regard for us is higher than ever according to our NPS methodology, and the long-term outlook is for continued revenue growth. And with that, I'll turn it over to Mark who will make some additional comments.
Mark V. Anquillare - Verisk Analytics, Inc.: Thank you, Scott. Across our businesses which serve the property and casualty insurance industry, we had several key industry themes, including vertical big data, industry automation, and digital engagement. With these themes in mind, I'll highlight a number of positive recent developments. In the vertical big data area, we launched a new energy insurance group focused on transforming risk assessment, rating, and risk modeling for the oil and gas, petrochemicals, power generation, and metals and mining industries. The group is drawing on deep domain expertise and proprietary data from our ISO, AIR and WoodMac businesses. The data analytic solutions will help global property and casualty insurers evaluate and select risk and manage portfolios based upon energy and insurance industry-wide data, rather than relying solely on their own experience, data sets and tools. We're uniquely positioned to be the first to market at innovating the intersection of insurance and energy sectors. One of our industry automation solutions saw a win as a leading insurer expanded use of A-PLUS, Verisk's Loss History solution, to conduct loss history evaluations at the beginning rather than the after the quote process. This change of workflow will enhance the experience of their customers while improving operational and sales efficiencies. Improving conversion rates through better customer experiences while keeping expenses flat and maintaining underwriting integrity is a forward-thinking, innovative approach to profitable growth. We continue to perform well in the cat modeling space. As an example, we're very pleased when a leading global player decided to select AIR's Touchstone platform as its primary modeling solution along with the complete suite of AIR's global catastrophe models. Their decision was informed by, in their words, AIR's detailed loss modeling capabilities and superior service. This follows the June 2016 release of Touchstone 4.0 which features a variety of enhancements designed to improve performance, workflow automation and efficiency, and the overall user experience. Finally, we continue to improve digital engagement in the P&C industry through the availability of Circular Authority for Insurance. This is a cloud-based analytic solution designed to help insurers better manage ISO content with tools to visualize, compare and analyze updates. The solution helps insurers plan, implement and track our filings with state regulators and stay informed on the latest insurance topics. This is a natural extension to the thousands of insurance program updates we issue each year, and we're confident that it will add value and functionality for our customers. With that, let me turn it over to Eva to cover our financial results.
Eva F. Huston - Verisk Analytics, Inc.: Thanks, Mark. In the third quarter, we again delivered both revenue and EBITDA growth, while also investing in solutions that we expect will deliver incremental growth in the future. Revenue grew 5.9% and 6.2% on an organic constant currency basis. Our combined insurance and financial services businesses grew 7.7% in the quarter. EBITDA grew 5.9% to $250 million. This growth excludes the prior period gain on sale of warrants. EBITDA margins were 50.9% in the quarter. Within Decision Analytics, revenue grew 6.2% and 6.9% on an organic constant currency basis. Again, this quarter, financial services was the fastest growing vertical, while insurance-focused solutions were the largest contributor of dollars to growth. Decision Analytics insurance revenue grew 7.4% in the third quarter. We saw solid growth in underwriting, claims analytics and catastrophe modeling solutions. Loss quantification solutions also contributed to growth in the quarter. Customer retention remains very high, and we are confident in our ability to continue to deliver growth. Financial services revenue increased 24.5% in the quarter, led by growth in analytical solutions and media effectiveness. We are seeing good interest in the solutions we are building with our partners and continue to believe that our differentiated data assets position us well to execute on our plans in this vertical. As reported, energy and specialized markets revenue was about flat. The continuing weakness in the British pound remains a headwind to both revenue growth and Decision Analytics margins on a reported basis. Consistent with our longstanding approach, WoodMac became a part of organic growth starting in the third quarter. Organic revenue, which excludes PCI, Infield, Greentech and Quest, declined $5.3 million in the quarter, but increased slightly excluding the impact of FX. Risk Assessment revenue grew 5.3% and 5% on an organic basis, continuing to demonstrate the value to our longstanding insurance customers. Contributions in new solutions that are in early stages and the inclusion of Risk Intelligence Ireland which we have rebranded as Verisk Insurance Solutions Ireland. Industry-standard insurance programs revenue grew 5.4% reflecting our 2016 invoices and continued contribution from newer solutions such as Predictive Model and Electronic Rating Content. Our property-specific rating and underwriting information revenue increased 4.8% in the quarter. Growth was led by an increase in commercial underwriting solutions subscription revenue. EBITDA decreased 0.6% in the quarter to $253 million resulting in EBITDA margins of 50.9%. EBITDA growth adjusted for the 2015 gain on sale of warrants was 5.9%. EBITDA excludes a third quarter 2016 severance charge as we combined administrative functions following the WoodMac integration. It also excludes a gain on an investment in a company which was acquired by a third party. Decision Analytics EBITDA excluding the prior year gain grew 7.3% to $147 million in the quarter. Decision Analytics EBITDA as reported decreased 3.7%. EBITDA in Risk Assessment increased 4% to $106 million as a result of revenue growth and good expense management offset by increased staff levels following the previously announced talent realignment. Reported interest expense was $28 million in the quarter. Total debt was $2.3 billion at September 30, 2016. After using our proceeds from the healthcare divestiture to pay down debt, our pro forma leverage at the end of the third quarter was about 2.2 times, below our 2.5 times reference level. Our reported effective tax rate in the quarter was 26%. We saw a one-time benefit in the quarter from a change in the tax rates in the UK. Adjusted net income in 3Q increased 8.1% to $144 million. Adjusted EPS on a fully diluted basis was $0.84 in the quarter, an increase of 7.7%. Adjusted EPS increased because of solid operations, both organic and acquired, lower interest expense, and lower taxes. The increases were partially offset by higher depreciation and amortization expense, and the 2015 warrant sale gain which did not recur this year. Excluding the 2015 warrant gain, adjusted EPS grew 16.9%. The average diluted share count was 171.8 million shares in the quarter. On September 30, 2016, our diluted share count was 171 million shares. We repurchased 900,000 shares at an average price of $81.72 for a total cost of $73 million in the quarter. At September 30, we had about $280 million remaining under our share repurchase authorization. Our repurchase program has been successful to-date, generating annualized IRRs above our cost of capital. Free cash flow increased 12.8% to $429 million for the nine-month period ended September 30, 2016, excluding the $75 million tax on the gain of the sale of the healthcare business. Free cash flow excluding the tax was 57.4% of EBITDA. These numbers are all from continuing operations. Growth in free cash flow was driven by greater profitability of our businesses, the addition of WoodMac, and lower CapEx, partially offset by higher interest and fees related to the acquisition of WoodMac. Free cash flow remains an important metric for measurement of driving enterprise and, therefore, shareholder value. Capital expenditures increased 0.8% to $88 million for the nine-month period ended September 30, 2016, and we continue to balance the capital intensity of the business with investing for future growth. CapEx was 5.9% of revenue year-to-date. We expect for the full year, our CapEx will be about $10 million lower than we previously discussed as we manage efficiencies across our hardware and software spend even while developing more software for solution delivery. As you think about your models for the remainder of 2016 on a continuing operations basis, please remember that in the fourth quarter, we expect to have a one-time P&L charge of $19 million related to the ESOP. This is a non-recurring item related to adjustments made to the ESOP at the time of the IPO and will exclude – be excluded from adjusted EBITDA. This does not affect the underlying business profitability and we just want it to be on your radar ahead of time. This is really the final item that will be associated with ESOP adjustments. For the full year 2016, we expect CapEx from continuing operations of $140 million to $145 million, fixed asset depreciation/amortization of about $125 million, and the amortization of intangibles of about $95 million. Based on our current debt balances, we expect interest expense to be around $120 million for the full year, and we estimate the tax rate to be around 31% for the full year. For the intangible amortization add-back in the adjusted net income calculation, we will continue to use 26% to reflect the tax rates applicable to our intangible assets. And finally, we expect a full-year diluted weighted average share count of about 171.6 million shares before incremental repurchases. We are executing on our 2016 plan despite larger than expected currency headwinds and are actively engaged in planning for the future. We're excited about the opportunities we see for profitable growth and remain confident that we have the financial strength and capital structure to support investment for the long term. We continue to appreciate all the support and interest in Verisk. Given the large number of analysts we have covering us, we ask that you limit your questions to one and one follow-up. And with that, I'll ask the operator to open the line for questions.
Operator: Your first question comes from the line of Toni Kaplan, Morgan Stanley. Your line is open.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Hi. Good morning.
Scott G. Stephenson - Verisk Analytics, Inc.: Good morning.
Mark V. Anquillare - Verisk Analytics, Inc.: Good morning.
Eva F. Huston - Verisk Analytics, Inc.: Hey.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Scott, you mentioned the softness in the reinsurance market does this impact your ability to grow insurance this year over last year or are you still confident that you'll be able to achieve that and could you just remind us of your exposure to reinsurance?
Scott G. Stephenson - Verisk Analytics, Inc.: Yeah. So, our goal remains the same and I did mention it just because it is a factor in the environment right now. Our exposure to reinsurance is primarily with respect to the work that we do in the cat modeling world, not exclusively. We also provide some loss distribution content to the global reinsurers, but it's principally through catastrophe modeling and basically and I'm actually mention two things that are in the environment right now, the other is it's a very quiet storm season and in fact, it has been a quiet storm season for the last several years. And that does interact with the way that the reinsurance market behaves. And so, there have been some combinations in the reinsurance world including the brokers. And so, you have that in the environment. So, it's in there. It's a factor but the business – our insurance business overall is really good. And even yesterday, we had a visit from folks from an extremely prominent global non-domestic insurance organization and they were essentially asking, how could they get closer to more of our solutions. I think it's a conversation that we were probably not going to be able to have even just a couple of years ago. So, that's kind of where we sit right now.
Toni M. Kaplan - Morgan Stanley & Co. LLC: That's great. And my follow-up is just on the expense side. You had a really strong quarter specifically referring to the 63% gross margin in DA. Just – was anything one-time in there? How sustainable is that? And just overall when we think about EBITDA margins of 51%, it's obviously extremely strong. So, what do you view as may the key areas to move margins higher, not that we're complaining? But, or are you focused on keeping margins flat and just plowing scale benefits or any sort of additional expense benefits into supporting future growth?
Scott G. Stephenson - Verisk Analytics, Inc.: So, you had a couple of questions in there. So, the first one, there was really nothing one-time in the results. And in fact, we're trying to kind of help you see that there were actually some one – there were some one-time effects in 2015. So, but no, nothing with respect to 2016. And it's really the same story that it's always been which is that there is definitely scale just built into the way we do what we do. And the offset is the investment in new things and we're actually just completing our annual refresh of our five-year plans. And I think we have the most robust new solution pipeline that we've ever had, actually. So, we're excited to be investing in the business, and that is the one offsetting factor. But the business continues to demonstrate the same scale effects as it always has. So, we've said we're constructive on margins in the intermediate and long term, and we're still in that place.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Terrific. Thank you.
Scott G. Stephenson - Verisk Analytics, Inc.: Welcome.
Operator: Your next question comes from the line of Tim McHugh, William Blair & Company. Your line is open.
Tim J. McHugh - William Blair & Co. LLC: Yes. Thanks. First, just on the energy and specialized markets. Can you – the organic growth that you mentioned was slightly positive on a constant currency basis?
Scott G. Stephenson - Verisk Analytics, Inc.: Correct.
Eva F. Huston - Verisk Analytics, Inc.: Yeah.
Tim J. McHugh - William Blair & Co. LLC: Can you help us think about the legacy part of that segment versus Wood Mackenzie and how that contributed to that performance?
Eva F. Huston - Verisk Analytics, Inc.: Yeah. Tim, it's Eva. Good morning. I think, if you think about the business, I mean, as you said, we have the legacy, we have the environmental health and safety, and some of our (20:35) analytics solution. And I think some of the comments we made last quarter would be reflected in the performance there. We had a grow-over from last year and some global regulations that went in place in the H&S, and that will sort of continue to be an impact on the growth you see this year. And then with regards to WoodMackenzie, what we've talked about is, for the year, we expect about flat growth on a constant currency basis. And we're tracking towards that. We feel good about the performance of the business there. And I would say sort of by degrees, I think, the third quarter, some of the renewals we've been seeing are positive signs, I would say, that the market continues to be in the state it's in, and so I wouldn't overweight that. But I would say that we're pleased with the performance at WoodMackenzie.
Tim J. McHugh - William Blair & Co. LLC: Okay. And then, on insurance, I guess, not to, to follow-up on it. To get to a faster growth this year than you had last year, it seems to imply you need a growth rate, I guess, for that vertical that we haven't seen in a while. And so, are there any like, kind of project or one-time revenue that can get you there? Or is it – I guess, can you help us think through that and anyway to size some of the headwinds, the storm season, the later start, and I guess, as we think about how that kind of impacted kind of the revenue for this quarter or kind of the outlook?
Eva F. Huston - Verisk Analytics, Inc.: Yeah. Tim, well, maybe just to start on your question, the insurance business and aggregate is split probably a little more weighted towards subscription than our overall but roughly if you think about 80%/20% subscription, non-subscription across Verisk Analytics, so I would say that you see a reflection in the business similar to that. So, there are elements that are transactional and others are longer term. I think, as Scott observed, we have – the storm season can have some impact both in transactional and some of the other items. And as we think forward to the quarter, I think we're just pushing hard to do everything that we can to position the business well for the future. And sometimes, we have implementation timelines that are not fully in our control.
Tim J. McHugh - William Blair & Co. LLC: Okay. Thank you.
Eva F. Huston - Verisk Analytics, Inc.: You're welcome.
Operator: Your next question comes from the line of Andrew Jeffrey, SunTrust. Your line is open.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Hi. Good morning, all. Thanks for taking the question.
Scott G. Stephenson - Verisk Analytics, Inc.: Sure.
Eva F. Huston - Verisk Analytics, Inc.: Good morning.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Hey, Mark, I'm intrigued by the vertical big data comments especially, I guess, the integration or overlap between commodities, analytics and insurance risk management. Could you elaborate just a little bit, I guess, and talk about what the long-term, you know, maybe the TAM is and the long-term potential to contribute to growth on sort of an enterprise basis. Cause that sounds like somewhere – an area where you have pretty good competitive differentiation.
Mark V. Anquillare - Verisk Analytics, Inc.: So, I think across the insurance value chain, whether it's in the front side of underwriting or inside the claim space, all of our customers are very much looking to become more efficient and improve on the selection of the risks, better pricing of the risks or literally doing claims adjudication kind of in an automatic way. They would really like, for the most part, not touch a lot of claims which would save them money and actually improve their own relationship with the customer. So, I'm not sure we've been able to quantify TAM for all of that. But let me just describe to you some of the bigger things that we think are important. One, we highlighted here, as you underwrite a claim – excuse me, if you underwrite a risk, you have a lot of information that is necessary to underwrite that risk. We want to take and move that to the front-end. We want to do that upfront so that people can be quoting with all that information in mind. And I think that's a big opportunity. I think the other opportunity we highlighted here was energy. So, bringing together the big data kind of world of what we do with WoodMac, and the information we have with WoodMac and what we do in insurance, we have found, or at least we think, that the energy market is a little bit more specialized – it's a little bit the expertise of the players in it. And they really have never had look at, and views into a pricing or a risk assessment approach that we would do with traditional limited insurance. So, this is more of a E&F type asset. It exists in surplus. It's the bigger players across the world and we think this is a, I would say, probably tens of millions type of TAM if not larger.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Okay, thank you. And, the other question I just have is can you talk a little bit about the growth in insurance that you're seeing from international expansion of existing customers and whether or not you think about that as distinct from broader global expansion plans?
Mark V. Anquillare - Verisk Analytics, Inc.: Yeah. So, I think that's a great question. I think there's two ways we think internationally and as Scott highlighted, it's become very much a priority over the last couple years. There's two things I think we're doing well. There's a couple places, particularly on the claim side of things, where we have a customer, they're using us in a geography, let's use the UK as an example, they like the results they've gotten. We're able to demonstrate strong ROI, and that large global insurer takes us from the UK to other geographies and ultimately, I think the plan would be to implement across all of their operations. Once we get into another geography and we customize for that geography, one of the things that we always have to identify and understand is the insurance markets are very different. So, we have to locally customize the software and that's true of things we've been trying to put in place, so that we can then extend down beyond the one customer into many. There's other places, kind of the second tact we've taken is, we know markets that look and feel a lot like the U.S. market. It has maybe not the same regulation, but it has the same kind of nature of transfer risk, and we're good and knowledgeable that we can help them. And to the extent that is maybe U.S. speaking and has a more mature market, we're starting there because we can probably be most helpful. I think we've seen some opportunities to do things with buildings as an example. Big commercial buildings, we're very good at. We're very knowledgeable of a building that sits in some foreign location, has the same type of risk attributes as long as we can get an understanding of the property characteristics and we can relate a building in whatever foreign region to something here in the United States and we can build out with a lot of imagery. So, we're following our customers, one; we're finding like markets, two; and we have a kind of a team that's really focused on trying to accelerate our growth internationally.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Thanks a lot.
Operator: Your next question comes from the line of Andrew Steinerman, JPMorgan. Your line is open.
Andrew Charles Steinerman - JPMorgan Securities LLC: Scott, do you still plan on seeing Verisk combine DA and RA insurance revenue growth to accelerate for full-year 2016 compared to the growth rates of 2015?
Scott G. Stephenson - Verisk Analytics, Inc.: As I've said, we're working hard towards that goal. That is our goal, it remains our goal. And I also laid out sort of what's in the environment right at the moment that is a part of the performance that we will eventually produce.
Andrew Charles Steinerman - JPMorgan Securities LLC: And that's totally separate from looking at DA financial services, right?
Scott G. Stephenson - Verisk Analytics, Inc.: Oh, yeah. Of course. Yes.
Andrew Charles Steinerman - JPMorgan Securities LLC: Okay. Thank you.
Operator: Your next question comes from the line of Manav Patnaik, Barclays. Your line is open.
Manav Patnaik - Barclays Capital, Inc.: Thank you. Good morning. So, just wanted a little bit more color on the – I think, outside of the reinsurance market (29:33) and the quiet storm season, you talked about some contract implementation delays. I was just hoping you could give a little bit more color on that and maybe some examples of what's going on there?
Mark V. Anquillare - Verisk Analytics, Inc.: So, this is Mark again. Let me provide a little color. One of the great parts of Verisk is we're deeply embedded into our customer workflows and that's true of a lot of the competitors in which we go after. So, if you were to think about where we try to provide information at the point of underwriting. So, transitioning a customer from another solution to our solution just takes time. It takes a lot of effort from internal IT departments and we just can't always control the timing of those things. We also have contracts, so we know it's going to happen but the timing and where they want to roll out, sometimes they want to roll out regionally as opposed to across the nation. So, those are the type of things that we are kind of referencing there when we talk about timing. So, signed contracts, just look into push implementation where we don't necessarily have as much control as we'd like. I think the other comment or, at least, the other thing Scott referenced was in our world, we have a lot of subscription, pretty high visibility, storm, storm activity effects some of our repair cost estimates. There is a variable aspect to that and some of the contracts allow for additional charges when we have higher volumes. And just more broadly, if I'm to answer your question right, storm, storm activity creates what is maybe some pricing opportunity for both reinsurers and primary insurers and that helps the overall state of the market and really just the mindset of insurers who, at this point, are really focused on cutting cost as opposed to growing their book and growing their top line. So, little bit of a mindset as well as build transactional. So, hopefully that provides a little of the color you're looking for.
Manav Patnaik - Barclays Capital, Inc.: Got it. That's helpful. And then just on Argus. Obviously, some really good growth there. I was just hoping you could give us some color in terms of the growth coming from the – what we knew of Argus in terms of the move to financial services elements of the business versus the more media effectiveness that you guys have talked about recently like, is there a way to describe the split in growth there or what's more exciting or where that's coming from?
Scott G. Stephenson - Verisk Analytics, Inc.: Yeah. It's really very balanced. The growth at Argus is extremely balanced. So, as we've talked about before, there are data management solutions, there are analytic services, there are the contributory data sets, there is the media effectiveness world, there is international expansion. And all of those are contributing. So, I really wouldn't point at any one thing. But the wellspring of what Argus is good at is a remarkable ability to integrate large amounts of data, contributed data in an extremely efficient way and then equal capability at turning it into insight and putting it back into the customer's environment in a way that they can consume the analysis and the data very quickly. And so, all the things that I just mentioned are essentially expressions of that same capability.
Manav Patnaik - Barclays Capital, Inc.: Okay. Thanks a lot, guys.
Scott G. Stephenson - Verisk Analytics, Inc.: You bet.
Operator: Your next question comes from the line of Hamzah Mazari, Macquarie. Your line is open.
Unknown Speaker: Hi, guys. This is (33:13) filling in for Hamzah. Have a question about the talent realignment initiative in Risk Assessment and the overall hiring plans you guys have as you look toward 2017.
Scott G. Stephenson - Verisk Analytics, Inc.: Eva, you want to take that?
Eva F. Huston - Verisk Analytics, Inc.: Yeah. Sure. Well, I think, as we mentioned the last quarter, we've been filling in the positions that we had targeted as a part of the talent realignment. Obviously, as we had announced that back in the end of 2014, there was some period of time during which those people had left and the new talent that we were bringing in had not yet joined. I think we've been doing a good job and you've probably seen a few press releases about various people who've joined us and their areas of focus. But I would say that we are working hard to have all of those seats filled. I think that we'll probably talk about this less as we get to 2017.
Unknown Speaker: All righty. Thank you.
Operator: Your next question comes from the line of Jeff Meuler, Baird. Your line is open.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): Yeah. Thank you. On the WoodMac flattish organic constant currency, I'm guessing there's some customers that are under extreme distress or going out of business. So, I'm wondering what the positive offsets are to get to flattish. So, just looking for color around uptake of new solutions, any initial successes with broadening the selling motion. I think you previously said it was undersold. Just what are the positive offsets?
Scott G. Stephenson - Verisk Analytics, Inc.: Yeah. So, several things around that. First, customers generally have been under pressure, but I don't think it would be correct to draw the conclusion that, if what you're picturing is a lot of industry consolidation and the exit of a lot of players, fewer belly buttons on the customer list are out in the market, that's actually not the case. And in fact, one of the reasons why we were interested to do the small tuck-ins that we did is, in some cases, they actually serve different segments of the market. For example, more pure-play E&P kinds of companies. And so actually, the net effect of all of the acquisitions is that the customer list which used to be circa 1,000 is now closer to 3,000. And so we're obviously very excited about the cross-sell opportunities inside of that. Let me just also remind everybody that one of the largest segments that is served by Argus is the financial services world. There are a lot of folks who are interested in understanding what's happening in the hydrocarbon ecosystem that are not – I'm sorry, did I say Argus, in the WoodMac – excuse me, I'm addressing WoodMac. One of the largest segments for WoodMac is the financial services segment. And because there are a lot of folks that are interested in the performance of the hydrocarbon ecosystem other than the oil and gas companies and that segment has remained a very important part of what it is that we do. And then WoodMac is, actually yesterday, literally yesterday, launched a new solution, and new solutions have always been a part of the WoodMac story and I think always will be a part of the WoodMac story. And yet another thing which is in the environment right now is the oil and gas companies have really trimmed their work staffs, and part of the effect of that is that when the rebound comes, and it will come, I mean, you can just see it coming based upon lack of investment in CapEx. When it comes, the – our customers will be a little bit shorthanded in terms of talent. And so we think that they'll want to make use of both of our sort of products as well as our services. And you can see little green shoots of some of that even today.
Eva F. Huston - Verisk Analytics, Inc.: Jeff, it's Eva. I'd just add, I mean, I think we've talked about this before but generally, the WoodMac client base isn't very highly rated investment grade type client base. So, it's not to say there is never something here or there but I think to characterize it overall, despite the industry pressure, it's a very high-quality customer base.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): Got it. And then on the Touchstone win, just how penetrated is that market in terms of either using your or a competitor's solution? And how does your market share differ between, I guess, U.S. and European-based insurance companies?
Mark V. Anquillare - Verisk Analytics, Inc.: So, let me help you out with this. This is Mark. I think if you were to look at the number of insurers, most of the larger insurers use multiple models, so they would use both AIR and the competitive model. What we have seen is more and more people are using us or at least we're winning what I'll refer to as the primary modeling spot. If you're embedded in the workflow, if you're a part of that underwriting decision, the primary model is paid more. The secondary model is used as a reference point and to make sure things look right and to kind of sync up (38:45) with other information. So, it's a checkpoint. Our goal and it continues to be is to displace the competitor and drive towards being that primary model in the biggest insurers where the competitors, historically, had a little bit more prominence. The other part of your question is, I would say to you that a large majority of (39:08) of the world uses models. In some cases, they own them themselves and kind of have their own internal staff. In other cases, they work through brokers and we license our product through brokers. So, I think everyone has access to the models. I think it becomes more prominent for larger insurers to own it and have it directly in-house for use by their internal staff. So, they're using more and more models, too. So, that's why Analyze Re provides an opportunity to kind of bring all those modeled outcomes together. You could pick a region, you could pick a model, and you can kind of look at across the book in a portfolio way to do that. I think the last part of your question is, we model 100 countries. It think it's 104 countries, all major parallels. We are listening to our customers where they think there's economic loss to be covered. And we will attempt to build models where there is customer feedback and demand, and we think we're pretty well covered, albeit we're always looking to improve and always looking to expand.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): Yeah, thank you.
Scott G. Stephenson - Verisk Analytics, Inc.: Yeah. There's also a dynamic in there, which is that there are new modalities of risk. So, cyber would be an example of that or a comprehensive look at risk in the agricultural channel, both of which lend themselves to the kind of stochastic methodology that AIR uses. So, when you think about cat modeling, I would just encourage you to open up the aperture on the view just a little bit. It's a little bit more dynamic. It's actually considerably more dynamic than just earthquakes and hurricanes and weather phenomena.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): Thank you.
Operator: Your next question comes from the line of Bill Warmington, Wells Fargo. Your line is open.
William A. Warmington - Wells Fargo Securities LLC: Good morning, everyone.
Scott G. Stephenson - Verisk Analytics, Inc.: Hi.
Eva F. Huston - Verisk Analytics, Inc.: Good morning.
Mark V. Anquillare - Verisk Analytics, Inc.: Good morning, Bill.
William A. Warmington - Wells Fargo Securities LLC: So, a question for you on WoodMac and the GEM renewals. If you look at it on an apples-to-apples basis, meaning adjusted for currency, GEM dollar renewals on a year-over-year basis, are those trending up, flat, down? And then, how do you look at that trend, how do you expect that trend to look over the next 12 months to 18 months?
Scott G. Stephenson - Verisk Analytics, Inc.: So, it's very segment specific inside of the customer base today. There are some segments, who's current situations are sort of more leaning in and growth oriented, and there are somewhere that they've been more heavily impacted by some of the trends in the industry. So, there's really no one answer which sort of covers all of that. The way that we manage inside of the energy vertical is the same way that we manage the insurance vertical, actually, everything we do, which is we take a comprehensive view of the relationship with the customer, so when we're thinking about making our proposals, it's a combination of when it's time to renew the existing product or products, but also we're always presenting new solutions that they're not using today. And where we come out on a customer-by-customer basis is essentially the net of all of that. So, I would say that in the current moment, we've had to be particularly thoughtful about the pricing on like-over-like when we come to those renewal points. Bear in mind, by the way, that there are multi-year – a number of multi-year agreements here. So, it's not as if that really predominates in what goes on. But really the outcomes in these negotiations with customers have really been kind of what we expected. And certainly, as we go forward and the environment normalizes, I think that there will be room there.
Eva F. Huston - Verisk Analytics, Inc.: And Bill, I just wanted to add. You asked your question kind of narrowly just focused on GEM, I mean, we've had this discussion before, WoodMac is much more than just GEM. We have a lot of offerings there. So, I just wanted to add that color.
William A. Warmington - Wells Fargo Securities LLC: Well, fair point. For my follow-on, I wanted to ask about – a year ago, we started to see some weakness in the non-GEM products, the non-subscription services like consulting. And consulting has historically been a leading indicator within the energy space for the other parts of the business. And I was curious whether you're starting to see – or how your consulting pipeline is looking there, whether that was one of the green shoots that Scott had mentioned earlier?
Scott G. Stephenson - Verisk Analytics, Inc.: Well, as you know, we don't sort of formally break out the results between the different sides of the business. But the team, the consulting team has been very busy this year. And we actually are talking about as we move into 2017, ways to amplify that team.
William A. Warmington - Wells Fargo Securities LLC: Okay. Well, thank you very much.
Eva F. Huston - Verisk Analytics, Inc.: Thanks, Bill.
Operator: Your next question comes from the line of Jeff Silber from BMO. Your line is open.
Henry Sou Chien - BMO Capital Markets (United States): Hey. Thanks. It's Henry Chien calling for Jeff.
Scott G. Stephenson - Verisk Analytics, Inc.: Good morning.
Eva F. Huston - Verisk Analytics, Inc.: Good morning.
Henry Sou Chien - BMO Capital Markets (United States): Good morning. Just had a question on the RA side. I'm looking at growth in the quarter. Could you just help us understand some of the components of that, whether it's just growth in end markets versus pricing versus new solutions? I know in the past, you mentioned that you've shifted some of the subscription agreements to value-based-type arrangements. Just trying to understand growth there and how we should we think about it for the next quarter? Thanks.
Mark V. Anquillare - Verisk Analytics, Inc.: So, this is Mark. I think we've had a very high subscription rate inside of those industry standard programs, as you know, it's in large part the pricing and the invoice that goes out at the beginning of the year, and it renews, prepaid a quarter in advance for a majority of that revenue, in some cases a full year. So, good visibility. The things that kind of cause some, ups and downs if you will. Clearly, we have the opportunity to sell more where there's a customer looking to expand services or a new insurer concept. When two insurers become one inside of mergers, obviously that has some potentially negative downward effect on the way we kind of price. You're correct, a large chunk of the contracts today are kind of multi-year subscriptions, and they have kind of inflationary type of clause in there that is ongoing. Last piece of it is, inside industry standard programs, we continue to do a lot as it relates to new products and services. So, if you were to think about ways that people take our content and bring it into their own solutions, we call it Electronic Rating Content. That has been growing nicely. We've done a lot of work around analytics. We called it Risk Analyzer Suite. Those are the type of things. But because of the way we contract, it's usually multi-year and it's kind of spread evenly over the term. So, you've been seeing a pretty constant approach to industry standard programs from year-to-year-to-year. I hope that's what you were looking for.
Henry Sou Chien - BMO Capital Markets (United States): Got it. Okay. Yeah, no, that's helpful. And should we expect, I guess, an improvement from the current levels in terms of growth or the next quarter, the next year?
Mark V. Anquillare - Verisk Analytics, Inc.: So, I'll talk long term. I think we need to believe that the solutions and new solutions that I'll refer to as our ISO solutions team continues to produce is promising. I think there's a lot of analytics that are on the pipe. Things like energy we discussed here provides upside and opportunity. So, I think we generally remain pretty confident and remain pretty upbeat about the long-term prospects for insurance.
Scott G. Stephenson - Verisk Analytics, Inc.: We don't view it as a mature business and we manage very much as if it's not a mature business, but one that has the opportunity to grow.
Henry Sou Chien - BMO Capital Markets (United States): Got it. Okay. That's helpful. Thanks so much.
Operator: Your next question comes from the line of An Singh from Credit Suisse. Your line is open.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Hi. Thanks for taking my questions. I wanted to follow up on your energy insurance unit launch. Realizing its early days, hoping you can share some color on what the initial demand or commercial reception has been. And now that you've married energy to some of your supply chain capabilities, and now insurance, perhaps some thought on where you continue to see opportunities as far as products that combine your areas of expertise?
Mark V. Anquillare - Verisk Analytics, Inc.: Sure. So, I think we always had approach where we want to work with our customers for any type of rollout. So, we brought all of our teams together to see what we have and what capabilities and solutions we have to help energy insurers including and featuring a lot of the WoodMac content. With that group together, kind of a cross functional team, we built what we refer to as a minimum viable product. It's something that could be used for demos and used for (48:18) and look into what really can happen. And what our attempt is always to work with partners, development partners, to build out and enhance that solution. So, we are – have gotten some very nice acceptance and interest from some of the largest players in that space. We have a couple development partners and we are anxiously looking to move forward and trying to move as quickly as we can on that front. I think it opens up some nice opportunities and really provides a little insight into what is a great opportunity to build across the two verticals of Verisk. You also had a comment or question about supply chain and I think that offers another kind of opportunity where a lot of different partners.
Scott G. Stephenson - Verisk Analytics, Inc.: Yeah. We really like the supply chain theme because it lends itself to the kind of stochastic network kind of analytic that we're good at. And in fact, a lot of our supply chain thinking at the moment is directed at one of the most complex supply chains in the world which is around the hydrocarbon ecosystem. And so, we're actually – that's a place where we're trying to bring together sort of the pattern of thought, and the vertical market. The other thing that I think really ties our company together is large-scale data integration and data management which is just – and it's just the bread and butter of doing what we do, but bringing those methods across all parts of our organization and finding ways to make sure that we're commercializing those opportunities in all of the vertical markets. I think that's, by degree, it's kind of new business for us, and it's exciting. But that, to me, is actually the most – that's the greatest amount of connective tissue we have across the company.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Okay. Got it. That's really helpful. And as a follow-up, could you speak to your media effectiveness business within financial services? I know you've been more optimistic on the project revenue opportunity there. But wondering if you have any updates you can share with regards to that view. It seems there's some discretionary pullback from some customers in that space. And while I realize you guys aren't (50:32) working on more subscription-type arrangements, does it all change your outlook for the more, more of the larger projects that we've seen in the past?
Scott G. Stephenson - Verisk Analytics, Inc.: Yeah. Not quite sure what you're referring to with respect to discretionary pullbacks. We had one relationship that was project-based and then got sort of put into just a fundamentally different context. But, no, I mean, 2016 has been a year for the acquisition of some very exciting name brand companies that are definitely new economy kinds of companies that have essentially come into our method. And we've also continued to have a lot of success with our way of partnering with others in the media world to be able to say very unique things to companies that are using old media and new media. And so, it's a very good story. And, it's very broadly based. It's the same story as it was a year ago, exciting and growing.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Okay. Got it. Thanks a lot.
Operator: Your next question comes from the line of Joseph Foresi from Cantor Fitzgerald. Your line is open.
Joseph Foresi - Cantor Fitzgerald Securities: Hi. Good morning. So, what's causing the slowdown in implementations? Is it decisions on the part of the customer? And have you seen any cancellations?
Scott G. Stephenson - Verisk Analytics, Inc.: No, to your last question. And, basically, some of the things that we do, and I'll actually make a comment about the longer term by the way, but some of things that we do have an on premises quality which require customers and their IT departments to do something in order to get hooked up to our solutions. And so, there are just kind of occasions where, as they're moving into our product suite, they just need to essentially to be sort of scheduling the implementations and that's something that isn't always entirely in our control.
Joseph Foresi - Cantor Fitzgerald Securities: Okay. And then, given the reinsurance and demand comments, any early thoughts about maybe your outlook for insurance for 2017? I figured I would try. Thanks.
Scott G. Stephenson - Verisk Analytics, Inc.: Well, we remain very, very excited about our business. And just this fall, having gone through long-range multi-year plans for all parts of the business including all the parts of the insurance business, I think we have the most robust view of new forms of value that we can bring to the market that we've ever had. I think the pipeline of internal opportunities has never been stronger. So, insurance remains a world where you can really think of an insurance company as an information factory and there are many, many insurance companies and they're all in different places in terms of their journey towards data analytic proficiency. They are all I think, in varying degrees becoming even more comfortable with the thought of third-parties like ourselves contributing to what it is that they're doing. So, the environment in general, is one that our approach which is vertical data analytics is a meaningful one. And we're actually having a two-day customer conference beginning tomorrow for our North American customers and it's very exciting. The attendee list is very exciting and what we're going to be talking about is really interesting, future oriented stuff.
Joseph Foresi - Cantor Fitzgerald Securities: Okay, thank you.
Operator: Your next question comes from the line of Arash Soleimani, KBW. Your line is open
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: Hi. Thank you. Quick follow-up. The tax benefit you mentioned from the UK legislation, did you say that was a one-time benefit or could it have an enduring benefit going forward as well?
Eva F. Huston - Verisk Analytics, Inc.: Yeah. So, basically, there are two elements. There was about $0.04 in the quarter that was one-time. The rate basically came down by a percentage point in the UK and there, the change that we make to our deferred tax asset is a result of that, that's the one-time, but obviously the lower rate of one point will continue through the future.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: That's helpful, thanks. And, the other question, I know you said WoodMac, you still expect it to be flat for the year as you said before. Did you say earlier what the organic constant currency was for WoodMac this quarter specifically?
Eva F. Huston - Verisk Analytics, Inc.: No. We haven't called that out quarter-by-quarter, but I think we're tracking to the full-year view. And the reason we talk about it that way is that's really consistent with how we run the business.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: All right, perfect. Thank you very much for the answers.
Eva F. Huston - Verisk Analytics, Inc.: Thank you.
Operator: Our last question comes from the line of Andre Benjamin, Goldman Sachs. Your line is open.
Andre Benjamin - Goldman Sachs & Co.: Thanks. Good morning. I'm outside here, so hopefully you can hear me clearly.
Scott G. Stephenson - Verisk Analytics, Inc.: We can hear you fine.
Andre Benjamin - Goldman Sachs & Co.: My first question was, in the past, you talked about efforts with the connected car and the push to kind of be the part or help to shape the ecosystem for data shared between OEMs, property insurers and drivers. I didn't know if you have anything new on that and how you are thinking about the opportunity there?
Mark V. Anquillare - Verisk Analytics, Inc.: So, we continue to be really at the forefront of this as it relates to the insurance industry in connecting OEMs and to others, together with insurers. I think it's just a very difficult process to try to connect with all the numbers, contributors, all the different OEMs as an example, and 300 insurers, 400 insurers that may be interested in it. So, we are making good progress with other OEMs, meaning other car manufacturers, as well as folks who do central alarm systems and connected home, things like that, because we think it will be a key element in understanding, assessing and rating in the insurance policy. We've made good progress both here, and it also kind of creates a nice beachhead for us in international expansion opportunities. So, I think we are a little ahead of the markets right now, but I think we are well positioned and Scott earlier mentioned, there's a industry conference we're holding later this week, and that will be a featured part of the presentations and we'll have some news information about that as well.
Andre Benjamin - Goldman Sachs & Co.: My last follow-up would be the Argus partnership with Nielsen, some of the market impact of this has been tremendously successful. I was wondering, one, is that agreement exclusive or could you partner with potentially some of the others in that space which is growing rapidly? And similarly, are you thinking of any alternative areas where you could use Argus data outside of the traditional credit suite?
Scott G. Stephenson - Verisk Analytics, Inc.: Yeah. We're not, Andre, talking about the specific partnerships. I realize that there is sort of chatter in the market, et cetera. But we, ourselves, aren't really talking about who our partners are. But I will say that it's a rich ecosystem and we are relating to a number of players in the space.
Andre Benjamin - Goldman Sachs & Co.: All right. Thank you.
Eva F. Huston - Verisk Analytics, Inc.: Okay.
Scott G. Stephenson - Verisk Analytics, Inc.: You're welcome.
Operator: I will now turn the call back to our presenters for closing remarks.
Scott G. Stephenson - Verisk Analytics, Inc.: Okay. Well, thank you, everybody, for joining us for our third quarter earnings call. We appreciate your interest. And I hope and expect we'll see a number of you at our Investor Day next month, and, which we're looking forward to. And until then, be well. Talk to you soon.
Operator: This concludes today's conference call. You may now disconnect. Thank you.